Operator: Hello, and thank you for standing by. Welcome to Tripadvisor, Inc. fourth quarter 2025 conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press 11 again. I would now like to hand the conference over to Angela White, Vice President of Investor Relations. You may begin.
Angela White: Thank you, Towanda. Good morning, everyone, and welcome to Tripadvisor, Inc.'s fourth quarter and full year 2025 Financial Results Call. Joining me today are Matt Goldberg, President and CEO, and Mike Noonan, CFO. Earlier this morning, we filed and made available our earnings release. In that release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measure discussed on this call. Before we begin, I would like to remind you that this call may contain estimates and other forward-looking statements that represent management's views as of today, 02/12/2026. Tripadvisor, Inc. disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release as well as our filings with the SEC for information concerning factors that could cause actual results to differ materially from these forward-looking statements. With that, I will turn the call over to Matt.
Matt Goldberg: Thanks, Angela, and good morning, everyone. We are pleased with our 2025 results, which reflected continued momentum in our experiences and European dining marketplace offerings are increasingly replacing the declines in our legacy metasearch and media offerings. We achieved record high revenue of $1,900,000,000, a result of 10% revenue growth in Experiences, and 22% growth at The Fork, offsetting legacy revenue declines of 8% in our Hotels and Other segments. Group adjusted EBITDA was $319,000,000 or 17% of revenue. Tripadvisor Group is fundamentally different today than it was three years ago. Our focus and investment are now deliberately centered on a large and growing marketplace opportunity, particularly in Experiences, rather than on constrained SEO-dependent legacy offerings. This shift is changing the composition of our revenue and profit profile. In 2025, our marketplace businesses represented 61% of group revenue and 35% of adjusted EBITDA. By contrast, in 2022, our legacy offerings generated 59% of revenue, and all of the group's profit. In 2026, we expect this transition to advance further. Marketplace revenue is expected to deliver two thirds of total group revenue and half of adjusted EBITDA. And Experiences on its own is expected to contribute more than 50% of our revenue and roughly 40% of our adjusted EBITDA, firmly establishing it as the group's primary value drive. Over the past year, we streamlined our corporate structure and made deliberate operational choices to concentrate on the areas of travel with the greatest long-term opportunity grounded in our competitive advantages. As we enter 2026, our priorities are clear. We will extend our leadership position in Experiences globally, leverage our differentiated assets to position ourselves for an AI-enabled future, and simplify our legacy offerings while we continue to evaluate strategic options across the portfolio to unlock shareholder value. As we concentrate the group more fully on becoming an Experiences-first company, we are mindful that The Fork has more limited strategic synergies with where we are headed. At the same time, it is growing fast, diversifying its revenue, expanding profitability, and innovating as the only dining marketplace in Europe operating at scale across both B2B and B2C. We believe this is a uniquely valuable business with an attractive long-term growth profile, which may be underappreciated in our portfolio given the market activity we have seen around the dining category. As a result, we have decided to explore strategic alternatives for The Fork as part of our broader portfolio review. We view this as one potential path to creating additional capacity for meaningful capital return to shareholders balanced with opportunities to invest further in our Experiences strategy. I would like to spend most of my time today on Experiences, our highest strategic priority and the area where we believe we have the assets, track record, and teams to be the global leader. We have a proven business model with growing customer loyalty driving improving unit economics in a highly attractive market. We see a durable long-term position ahead, thanks to tailwinds in consumer preferences and low online penetration, the fragmented long-tail nature of the supply base, and the critical role our unique brands play in smoothing the friction between customers and small operators. Over the next few years, the online portion of the Experiences market is to grow by double digits. And our profitability and scale provides us the flexibility to invest in capturing even more share and accelerate our growth at attractive ROIs. We have achieved meaningful scale. Our gross booking value, or GBV, is rapidly approaching $5,000,000,000 with a majority of bookings coming from loyal repeat customers that spend more and increasingly return to us through direct channels. We are driving this growth profitably as we expanded adjusted EBITDA margins in Experiences to 10% in 2025 and see a clear path for healthy margin growth in the future. Last year, our bookings volume and GBV growth progressed quarter by quarter, and we exited 2025 strong with 18% bookings growth and 16% GBV growth in Q4, a profile that suggests we are accelerating taking share in our core markets, and entering 2026 with momentum. As we look forward, our priorities are to drive demand from a diverse set of channels, improve our product experience to lift conversion, and grow our supply base to attract new customers. Let me walk through each of these elements of our flywheel briefly: demand, product, and supply. We have made progress in our marketing efficiency by coordinating our two brands to capture more demand at improving ROIs. Our operating model changes have increased the combined click share in our core U.S. performance marketing channels outpacing other players. This year, we will build on this playbook as we broaden our demand sources, expand investment in social media, and evolve our engagement with scaled strategic partners in AI while continuing to lower our marketing spend as a percent of revenue. Our product teams are aggressively accelerating experimentation, ending 2025 with more than double our testing volume versus the prior year. This lift has resulted in a meaningful lift to conversion, a critical driver of improving unit economics. We drove higher conversion rates on the Tripadvisor, Inc. point of sale quarter by quarter through last year and are now approaching the conversion rates of the Viator point of sale. As we move into 2026, we are sustaining that pace, leveraging AI, machine learning, and predictive modeling to optimize the user experience in areas like personalization, merchandising, and booking flexibility. Working with suppliers, we are also launching new tools to deliver the right price at the right time to travelers, benefiting both sides of the marketplace. We are extending our supply coverage and quality across markets, leveraging the group's reach and customer signals. In 2025, we have grown supply in our core markets to more than 425,000 products from 70,000 suppliers, and our quality scores above 4.5 out of five stars are rising, up approximately 20% from last year. We will continue to build on our supply scale advantage, focusing on relevance and conversion to attract new customers. We have a clear signal that our efforts are stimulating new demand. As we have added new supply, we continue to improve the all-important rate to achieve the first booking, and a strong mix of the new Experiences are proving to be incremental. For 2026, this all adds up to higher quality of supply driving more travelers to more relevant Experiences and increased revenue opportunities for our operators. Looking forward, repeat bookers will continue to be our largest and fastest growing cohort, which is especially important given the impact these loyal customers have on our marketing leverage and profitability. We also see opportunities to target new customers by capturing more of the global TAM. This year, we will build on our strengths by extending our marketing investment outside of our core U.S. point of sale, leveraging the power of both brands, localizing our storefronts for non-English native language customers, and adding locally relevant new supply across geographies and categories. Before turning to some commentary on our other segments, a quick word on how we will continue to position ourselves for an AI-enabled future. Last quarter, we mentioned that we would rapidly launch an AI-native MVP, and we did just that in Q4. Our goal is simple: utilize the substantial data and content we have to make more relevant, personalized recommendations better matched to travel intent and easier to book, whether in the planning phase or in destination. While it is too early to say how or when this AI innovation will change our financial profile, we were pleased that we could deploy smaller teams working at higher velocity to go live quickly with a fully AI-first approach so we can test and learn from the large audience at Tripadvisor, Inc. And the early data indicates that our MVP is outperforming our prior on-site AI efforts across key customer engagement and conversion metrics. And, of course, as we innovate on our own platforms, we are also taking advantage of direct relationship with key AI partners to experiment and learn across AI-first search and agentic AI through licensing and product integration. The Viator app in ChatGPT is now live as a proof of concept, joining our apps from Tripadvisor, Inc. and The Fork. This cooperation has reinforced the value of our brand, content, and data, and suggests the power of the trust and travel category insight we provide. It is also resulting in significant increases in traffic coming from LLMs with higher revenue per visitor, although it is still small relative to other traffic sources. We believe there is a big opportunity ahead to scale our partnerships further by helping travelers close the trust gap between using AI for discovery and planning and using AI to book with confidence. Next, turning to The Fork. As I mentioned earlier, over the last few years, we have strengthened our market position and financial profile. We diversified our revenue, improving our marketing efficiency, and leveraging our R&D investments to increase profitability. In our more mature B2C offering, more than 80% of our bookings are coming from repeat diners. And with nearly 80% of bookings coming through the mobile app, we are also bringing more diners direct, improving the unit economics and validating the long-term margin opportunity for this business at scale. In our higher-growth B2B subscription offering, our improved product is delivering strong growth in premium plan adoption, which in turn is driving higher-than-average revenue per restaurant within our base of more than 50,000 reference, a clear sign of the value in the B2B product. The Fork's innovation agenda is expanding reach and conversion gains through an engaging social feed, while leveraging AI to improve search, matching, and conversion for diners, and increasing productivity in customer service. Finally, we will continue to simplify our Hotel and Other offerings as we streamline the cost base while leveraging Tripadvisor, Inc.'s heritage of trusted travel guidance to support our strategic objectives. We continue to hold a unique position in this space despite ongoing declines in fly-by visitors to our site due to the changing search landscape and the rise of AI overviews. Last year, a stable base of travelers shared nearly 80,000,000 contributions on Tripadvisor, Inc., impressive and consistent volumes despite the traffic headwinds we have endured. This reflects a commitment of our most loyal travelers and the valuable proprietary data assets we will deploy to advance our Experiences and AI priorities. At the same time, we will run our Hotel and Other legacy offerings for profit. We will continue to align costs with revenue, evaluate strategic partnerships to stabilize and add scale, or potentially exit certain business lines. Where we are not driving value to our broad base of customers or partners, we will continue to anchor on simplification. We just kicked off 2026, but we have hit the ground running with energy, focus, and confidence in our plans. We could not be more excited about our Experiences future, the innovation and execution across our teams, and the opportunity we see to catalyze shareholder value and drive sustainable long-term revenue growth and margin expansion ahead. With that, I will turn the call over to Mike.
Mike Noonan: Thanks, Matt, and good morning. I will start with a review of our financial performance and then provide more information on our outlook for 2026, each under our new segment reporting. As a reminder, all growth rates are relative to the comparable period in 2025 unless noted otherwise. Q4 consolidated revenue was $411,000,000, flat with a year ago, and in line with our expectations. Revenue growth in Experiences and The Fork came in at the high end of our guidance range, but was offset by slightly lower revenue performance in Hotels and Other. Full year consolidated revenue was $1,900,000,000 or 3% growth. Q4 consolidated adjusted EBITDA was $45,000,000 or 11% of revenue, which was at the low end of our expectations. In the quarter, we saw an opportunity to capture incremental demand through increased marketing investment, which we believe will benefit Experiences growth in 2026. Full year consolidated adjusted EBITDA was $319,000,000 or 17% of revenue. Experiences and The Fork both delivered adjusted EBITDA margin expansion that was more than offset by deleverage from Hotels and Other. Before discussing segment performance, I would like to briefly review the key changes to our new segment reporting. This morning, we posted materials with a detailed explanation of the changes and recast of historical periods. I would like to make a few key points on the changes. In the Viator sec in Experiences segment, revenue and all related metrics are the same as our prior Viator segment reporting. Adjusted EBITDA reflects all costs associated with entirety of our Experiences business, including the fixed and variable costs for both the Viator and Tripadvisor, Inc. points of sale. Therefore, there is no longer intersegment Experiences revenue because the new Experience segment reflects the full P&L for both brands. In Hotels and Other segment, revenue and adjusted EBITDA includes all revenue and fixed and variable costs included in the prior brand Tripadvisor, Inc. segment, less any revenue and costs associated with the Tripadvisor, Inc. Experiences point of sale. The FORQ segment remains unchanged. Certain shared group costs are allocated across the segments consistent with our prior segment reporting approach. Now turning to the results in each segment for Q4. In our Experiences segment, the number of Experiences booked grew 18%, which was at the high end of our expectations. Bookings growth in our owned and operated platforms, Viator and Tripadvisor, Inc., accelerated faster than the overall segment as we continue to lead into coordinated marketing investments across the brands, driving increased conversion. In North America, our largest source market, we saw another quarter of sequential acceleration, a positive sign that our combined brand approach is delivering results. Bookings volume growth from third-party points of sale remained higher than overall segment, though it stepped down sequentially as we began lapping a period of high growth from third-party merchant partners that began scaling in Q4 2024. Experiences gross booking value, or GBV, grew 16% in Q4, a modest sequential acceleration to approximately $980,000,000. We also saw faster GBV acceleration in our owned and operated points of sale. Q4 Experiences revenue grew 10% to $204,000,000, a slight acceleration from 9% growth in Q3. The difference in growth between GBV, bookings volume, and revenue continues to be driven by higher bookings volume growth from third-party merchant partners. However, this gap narrowed in Q4. Changes in FX positively impacted both GBV and revenue growth by approximately three percentage points. Revenue for the full year grew 10% to $924,000,000. We were pleased the sequential acceleration in both GBV and bookings volume growth through the year, with GBV reaching more than $4,700,000,000 for the full year. While the progression of total GBV demonstrates our meaningful scale in the category, we are also operating with consistently improving unit economics. Repeat bookings continue to be our fastest growing cohort, comprising the majority of our GBV, and represent our most profitable customer base. We are managing our business prudently to balance growth and profitability progression while investing for long-term competitive positioning. The financial performance we delivered in 2025, the momentum we are carrying into 2026, reflect the resiliency of our financial model and the strength of loyal loyal booker cohorts maturing at scale. We believe the diversity of our brands and business model is an advantage and uniquely positions us for sustainable leadership in the category. Viator and supervisor represent a significant majority of total segment GBV, with Viator contributing the bulk of GBV. Viator and Tripadvisor, Inc. leverage a shared industry-leading supply asset that we merchandise to each audience and increasingly in a more personalized way through data and AI. We also leverage our supply to reach incremental audiences through third-party demand partners. This set of distribution channels is diverse and growing fast, serving thousands of partners globally, extending our reach beyond our core markets. Importantly, bookings from third-party partners are immediately profitable on every transaction. In terms of channel mix on our owned and operated platforms, our direct channels are growing the fastest as a result of our investments in supply and product that convert first-time bookers to loyal repeat cohorts. Importantly, unlike our legacy Hotels offering where we faced SEO headwinds, SEO is not a large channel for us in Experiences, and we expect this channel to contribute less than 10% of GBV as we exit 2026. We will continue to leverage both of our brands in the paid channels to attract high-intent new bookers while testing new paid channels that diversify our investment mix from SEM. Experiences adjusted EBITDA in Q4 was $15,000,000, 7% of revenue, down from $29,000,000 last year. We anticipated deleverage in the quarter due to a known indirect tax benefit of approximately $4,000,000 realized last year. Additionally, in service of our strategic focus increasing our execution velocity as we enter 2026, we made incremental investments in the quarter to accelerate bookings while continuing to invest in engineering, data, and AI to drive product and supply enhancements that we believe will benefit growth and competitive differentiation in the medium term. For the full year, Experiences adjusted EBITDA was $91,000,000 or a 10% margin, which we believe makes us the most profitable scaled Experiences platform in the world. This adjusted EBITDA profile demonstrates our financial discipline, exhibiting strong and improving unit economics while continuing to invest for future growth. Turning now to The Fork. Revenue in Q4 was $57,000,000 or 18% growth and 9% growth in constant currency. Total bookings in our B2C channel grew 9%. While a smaller contributor, our B2B subscription revenue grew at a much higher rate driven by ongoing restaurant adoption of higher-priced premium plans, highlighting the strong value proposition The Fork delivers to restaurants. On a full-year basis, revenue was $221,000,000, representing 22% growth and 17% constant currency. Adjusted EBITDA at The Fork in Q4 was $1,000,000 or 2% of revenue, approximately 150 basis points higher than last year, driven primarily by leverage in marketing and overall fixed costs. For the full year, adjusted EBITDA was $21,000,000 or a margin of 9%, a meaningful improvement of over 600 basis points driven by prudent fixed cost management while delivering strong revenue growth. In Hotels and Other, Q4 revenue was $151,000,000, a decline of 15% which we anticipated given the impact of structural demand headwinds in this category. As we mentioned last quarter, we are managing our Hotels offering offerings to optimize for profitability rather than chase low-margin revenue. As a result of product improvements we have made, Hotel Meta pricing continued to be strong due to high-quality travel intent our platform is delivering to our Hotels and OTA partners. Structural traffic headwinds also continue to impact our media and advertising offerings, with revenue declining 17% in Q4 to $30,000,000. For the full year, Hotels and Other revenue declined 8% to $750,000,000. Adjusted EBITDA in the Hotel and Other category was nearly $30,000,000 or 20% of revenue. Lower personnel costs related to our cost savings program we announced last quarter partially offset the lower revenue stemming from SEO headwinds, which is driving a higher mix of revenue from paid channels. Full year adjusted EBITDA was $270,000,000 or 28% revenue. Turning to consolidated expenses starting with the quarter and for the full year. Cost of revenue in Q4 was 9% of revenue, up almost 200 basis points year over year due to the benefit of last year of indirect tax credit. For the full year, cost of revenue was 8% of revenue, with last year. Marketing costs in Q4 were 43% of revenue, higher by approximately 550 basis points year over year due to marketing investment in Experiences. For the full year, marketing was 42% of revenue, deleverage of approximately 200 basis points which is largely driven by revenue headwinds at Hotel and Other. Importantly, Experiences improved its marketing leverage for the full year by approximately 130 basis points. Personnel costs in Q4 were 32% of revenue, lower by approximately 300 basis points year over year. Lower personnel costs were largely driven by the previously announced gross cost savings program, primarily impacting Hotels and Other. Absent share-based compensation, personnel costs as a percent of revenue was lower by approximately 200 basis points. For the full year, personnel costs were 30% of revenue, lower by approximately 200 basis points or 100 basis points absent share-based compensation. Technology costs in Q4 at 6% of revenue were approximately flat with last year. The full-year technology costs were flat with last year as well. G&A as a percent of revenue in Q4 was approximately flat with last year. On a full-year basis, G&A as a percent of revenue was lower by a little over 100 basis points. Now turning to cash and liquidity. For the full year, operating cash flow was $245,000,000 and free cash flow was $163,000,000. The increase in operating cash flow and free cash flow were driven primarily by changes in working capital as a result of lapping the impact of last year's nonrecurring tax settlement. Total cash and cash equivalents at December 31 were approximately $1,000,000,000. Our cash balance includes approximately $350,000,000 in Term Loan B proceeds raised in 2025, which we plan to use to pay our outstanding convertible notes due in April. After taking into account deferred merchant payables of approximately $308,000,000 and a $350,000,000 term loan, our remaining excess cash balance is approximately $377,000,000. During the fourth quarter, we repurchased 3,300,000 shares at an average cost per share of $15.14, a total of $50,000,000. Over the course of the year, we have repurchased 6,100,000 shares pursuant to our program totaling approximately $90,000,000 at an average price per share of $14.72. Today, we have approximately $110,000,000 remaining in our share repurchase authorization. Combined with the LTRIP transaction earlier in the year, we have reduced share count by approximately 21% since 2024. We believe that our current cash profile and net leverage levels reflect strong capital structure with appropriate cash for operating needs. Turning now to our outlook for 2026 and Q1. For the full year, we expect modest consolidated revenue growth, which reflects the ongoing mix shift we are driving towards our growth marketplace businesses. Our marketplace growth, which we believe is outpacing the overall travel market and the category growth rates where we operate, continues to be offset by structural traffic headwinds impacting our legacy Hotels and media advertising business. We expect the mix of our marketplace businesses to continue to grow meaningfully and represent approximately two thirds of our consolidated revenue as we exit 2026. Experiences revenue alone is expected to comprise over half of our consolidated revenue. In addition, we expect quarterly performance throughout 2026 to reflect higher seasonality trends that are inherent in scaled travel marketplace businesses as Experiences and The Fork become a larger portion of our consolidated revenue. Now some brief commentary on each of the segments for the full year 2026. Starting with Experiences. We expect accelerating growth in bookings, GBV, and revenue in our Viator and TurboVisor points of sale and slowing growth in our 3P points of sale as we continue to lap the steep ramp in this channel. As a result of this mix shift, we expect approximately flat bookings volume growth in the year over year for the segment. We expect GMV and revenue growth to accelerate with revenue growth in the low teens. Importantly, we expect to exit the year at a higher revenue growth rate relative to the start of the year as combined marketing, product, and supply effort gained momentum. At The Fork, we expect revenue growth in the low to mid-teens. This growth rate reflects solid volume-driven bookings growth in the B2C business and healthy expansion in our premium software, driving B2B growth above 20%. Segment growth expectations include an estimated currency benefit of 400 basis points on current rates. In Hotels and Other, we have taken a prudent approach based on the more pronounced trends we observed the second half of last year. As a result, our current expectations are for mid to high teens revenue declines largely driven by SEO traffic headwinds and our focus on maintaining consistent ROIs in the paid channels within Hotel Meta. Our Hotel Meta performance is lapping a difficult comp in the first half of this year, as we observed strong pricing last year. By the second half of the year, we expect to see some stabilization in segment revenue declines as we lap easier comps. Turning to consolidated EBITDA, we expect to deliver flat to modest margin expansion alongside mid-single-digit EBITDA growth, driven by our marketplace businesses and a year-in-year impact from our cost savings program we announced on our last call, offsetting anticipated declines in our Hotels and Other segment. We expect our marketplace businesses to contribute approximately 50% of our overall EBITDA, up from 35% in 2025, with Experiences adjusted EBITDA alone expected to contribute approximately 40% of the total. On a segment basis, for the full year adjusted EBITDA, in Experiences, we expect margins to expand between 300 and 400 basis, which implies healthy adjusted EBITDA growth, primarily due to greater market efficiencies driven by strong repeat cohorts and by operating our two brands in a more coordinated manner. Adjusted EBITDA will be back-half weighted due to the typical seasonality in marketing investment in Q1 relative to large seasonal travel period in Q3. At The Fork, we expect to deliver margin expansion between 200 and 300 points, primarily due to more efficient marketing mix and continued fixed cost leverage. Finally, in Hotels and Other, we expect adjusted EBITDA margin to decline by between 150 and 250 basis points as we continue to manage this business on both variable and fixed cost despite anticipated revenue declines. Turning now to our outlook for Q1. We expect consolidated revenue to be down by 3% to 5% year over year. Despite continued growth in our marketplace businesses, the anticipated declines in our legacy offering pressure overall growth, in particular, given that Q1 is seasonally low revenue in our marketplace and therefore, its weighting on consolidated revenue is lower. However, we expect to see consolidated revenue acceleration throughout the year as our marketplace businesses continue to increase their share of group revenue mix. On a segment basis, we expect Experiences items growth in the low teens, which is due to the lapping of strong 3P growth last year. Despite solid growth in our Viator and Tripadvisor, Inc. points of sale, revenue is expected to accelerate by approximately 1% to 2% sequentially in part due to the aforementioned investment we made in Q4. We expect revenue growth at The Fork of between 20–22%, which includes a currency benefit of approximately 12 percentage points. We expect Hotels and Other declines of approximately 21% to 23% due to a continuation of recent trends and a more difficult year-over-year compare in pricing that we expect to erase in the second half. We expect consolidated Q1 adjusted EBITDA margin of approximately 3% to 5%. Step down is due to the aforementioned revenue headwinds in Hotels and Other segment, as well as growth investments in Experiences this quarter. In Experiences, we expect our adjusted EBITDA margins to step back by approximately 200 basis points year over year primarily due to an increased marketing investment. At The Fork, we expect margins to swing positive year over year, increasing approximately 800 basis points to about 1% of revenue, benefiting from marketing efficiencies expected in the quarter. In Hotels and Other, we expect adjusted EBITDA margin between 21–23%, which reflects revenue headwinds previously discussed. We are excited about 2026 and the priorities we have established to continue to extend our leadership in global Experiences. We expect to see the increased impact of its contribution to our group finish profile this year, establishing a foundation for multiyear group revenue acceleration while delivering healthy levels of profitability. We look forward to updating you on our progress on our next call. With that, I turn the call back over to the operator for Q&A.
Operator: Thank you. Please press 11 on your telephone, then wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from the line of Eric Sheridan with Goldman Sachs. Your line is open.
Eric Sheridan: Thanks so much for taking the question. Sticking with the Experiences side of the business, can you characterize how you are thinking about the incremental growth investments in the business, especially in the marketing side in response to two things, both the demand signal you think you are getting from the market in terms of Experiences growing as a percentage of consumer spend and also in light of what might be different or stable elements of the competitive intensity in Experiences. We would love to get some characterization on both against your growth investments. Thanks so much.
Matt Goldberg: Yeah. Thanks, Eric. I appreciate the question. It is Matt. And I will take the question, and Mike can fill in as he likes. We see the Experiences market as very attractive. Obviously, it is growing faster than other travel categories. We saw, know, from '19 to '25, the online portion growing at 13%. In that period, we grew 22%. From '22 to '25, the market grew 16%. Online 22%. We grew 22% over that period. So we feel really good about our ability to grow not only in line with the online portion, but to exceed it over time. Looking forward, you know, we think there are a number of reasons that we can really deliver here. The first is the scale we have already achieved, the position we have in our core market, in the U.S., and the ability to extend that globally. You can see that in our GBV. That is accelerating and approaching $5,000,000,000 last year. You can see that in how our supply is growing and the relationship we have with operators. And you can see demand signals very, very clearly both in our Tripadvisor, Inc. point of sale, where we are able to take that data and match supply and demand as we target the supply we want to go after that is going to allow us to extend, internationally. We brought our team together to drive marketing efficiency, and we have a stronger competitive position there. We are leveraging our product and, as as I mentioned, supply across those brands. And really smoothing the friction to get more, conversion and ultimately driving our unit economics across the business. So that is driving profitability. And as we see scale, and accelerating growth with profitability, we really think that that gives us the flexibility to invest further, to drive global leadership. So the operating model is helping. We see it, in our data. And you can obviously see it externally. Anybody you talk to in travel is talking about the power of Experiences and how that is driving all of the other categories. So we feel we sit bull's eye there. As we relate to others in this space, I think it is really interesting because when when you look at where we stand, it is really you know, we are the most profitable Experiences player in there. I think you come from the strongest market, which gives us an opportunity to extend that into other markets. Our unit economics are progressing, and we just feel that between our ability to go after demand and meet that with supply, extend the TAM growth, right, by looking into new geographies and categories, we are really well positioned to double down in Experiences, add resources and investment that are going to draw accelerate both growth and profitability over time.
Mike Noonan: Yeah. And one thing I would add on to that, Eric, would be a little bit about specifically on the marketing approach. To add on. No. I think a few fundamental things about the category. One, we believe it is very large, as Matt said, but the awareness is still relatively low. And so I think it it is how you find intent, how you convert that tent. And, you know, we see that intent primarily through the paid channels. And I think we have exceedingly good teams that are good at those conversions. And importantly, importing that those wins over to both our points of sale at Viator and Tripadvisor, Inc. And so, really, we have to follow that intent and convert that where we can. And that is really the basis of how we think about our ROIs in the paid channels. You know, we we understand that as an investment in a new user, particularly a new user in the category. And it is all then how you drive that repeat behavior. And and and how we target those ROIs is just based on where we see our long-term margin progression until target margin can be over the long period of time. And that is the formation of how we think about our ROIs.
Operator: Please stand by for our next question. Our next question comes from the line of Naveed Khan with B. Riley Securities. Your line is open.
Naveed Khan: Question on the on the Experiences margin expansion. I think you are guiding to a few 100 basis points of EBITDA margin expansion in Experiences. And my question is about the the fact that you mentioned repeat bookings are up from the previously acquired cohorts. Why not why not double down on customer acquisition versus giving back some on the on the EBITDA margin. Why not just optimize for long-term customer growth and maximize the potential there? And then second question is, I think you mentioned that you expect that SEO will be less than 10% of the traffic for 2026. How should we think about that and your long-term sort of margin view of maybe this business operating at around mid-twenties EBITDA margin. Just give us your thoughts there. Thank you.
Mike Noonan: I will I will I will hit both, and Matt can chime in. So I I think, you know, the question on growth and profitability, what you are getting at. So I think the profitability this year in Experiences is driven by two. Two factors. One, which we believe we can continue to drive, efficiencies in our, in marketing, driven by really product-driven conversion growth, operating two teams, operating, you know, two two platforms as one. We can drive a lot of efficiencies there. We are excited about that. And then two, as you said, Naved, the natural, repeat cohorts that are building in the business, I I would just say when we think about, our growth profit trade-off, we are not targeting profitability over growth. I think what we have to look at and continue to look at is what is that incremental ROI and marginal ROI for new users which I said as I just said, is an investment. And we are continuing to look at where we can be smarter and make trade-offs. We made some trade-offs in Q4 that we liked. And so you have seen us demonstrate that in in the Q4, and we will continue to be flexible and do that as we move through the year. But listen. When when we are we are sitting primarily in a North American market where new users are are, we are always looking at that marginal, incremental ROI to see where we can drive more growth at profit levels that makes sense based on re rates we see. Part of the algorithm, we talked about this last call. We mentioned again this call about how we are expanding our TAM, our addressable TAM by looking at new regions outside of North America. We are very excited about the work that is underway there. And there is a great example where you could see us leaning into marketing spend as we are growing more aggressively in an in a new geo. And we will, you know, and we will absolutely update, update you with that with our progress as we move forward with that. But, I think we are remaining very nimble and open-minded as we think about the growth growth, algorithm. Secondly, on SEO, yeah, I I think it is it is just very important that, we we do see the Experiences business not having a major reliance on SEO. And and and the most of the SEO is coming through the the CA channel today. We are expecting on a combined basis to be that below 10% as I mentioned on the call. So when we think about long-term margin progression, not relying on SEO to to hit our long-term margin target. What we are relying on is continued progress in all things we just talked about, which is marketing leverage, the two t you know, two platforms being able to leverage, the brands more effectively in the paid channels, wherever they may be. You know, finding new paid channels outside of them, SEM, which we are excited about the progress there. And if the continued mature, maturation of our repeat cohorts that are building very nicely. So you know, all those ladder up to, we believe, very strongly still about our, long-term margin progression. We are excited about the growth trade-offs we have to make, to to get there.
Operator: Please stand by for our next question. Our next question comes from the line of Nafeesa Gupta with Bank of America. Your line is open.
Nafeesa Gupta: Hi. Thank you. Hi, Matt. Could you tell us more about this AI-native MVP that you launched in the fourth quarter and how that is different from your earlier trip plan? And then I have one more after this. Yeah. So I just want to understand about the economics that you are seeing from the larger platforms in terms of user acquisition? And also, how are you thinking about monetizing your user review data that you have from Tripadvisor, Inc. core?
Matt Goldberg: Okay. Thanks. Yeah. So on the end and the AI-native MVP, what we wanted to do was to shift the way that we deliver AI products to our customers. And so we want it to be AI-first, AI-native, use the tools, and really reimagine what Tripadvisor, Inc. could be in a fully AI-native world. So we are we are going back to our roots. We want to help people validate their travel choices with better recommendations that understand who they are, drive personalization, that these recommendations can be better explained through social proof and that they can immediately be more actionable. And so we have been learning off the last quarters and years of our investment in our AI infrastructure and our products, which we are really adding on to our existing product. Now we are going fully AI-native to to reinvent. And so we like the data that we are learning. We we believe that we can build trust in the why behind travel choices. We believe that our UGC, which as I said, is stable, and we intend to really drive growth there, gives the social proof that users want before they are willing to book. And we think that we can ultimately become that trust layer whether it be on our own products or serve and services or in partnership with a a scaled AI partner. So we are taking a very different approach. The teams have been, you know, running really fast. They are they are extraordinarily lean, and we are iterating on live customer behavior to understand how how we can improve and and and drive that conversion and and that revenue. I will say, you know, we are live to a slice of of our of our audience. So it is still early. But in Q4, we saw that the approach drove multiples higher engagement with users than our prior AI travel assistant on the site and had good early monetization signals. Now that can be applied to whether you are planning or whether you are in destination. So, you know, when when travels are in destination, they have a lot of last-minute decisions around what they want to do, what they want to see, what they want to eat. But availability, pricing, and logistics are tricky in Experiences. So we are we are leveraging our assets there to help travelers experience the destination better and really testing, you know, what is around me now, GeoAware recommendations, proactive offers to drive incremental demand, you know, making it much easier to book and access real-time customer support, and we think that is going to drive some good good activity. And your your second question was how are we going to leverage our, I think, UGC to drive can you just repeat the second question? Yes. As I mentioned, the UGC data continues to be solid. And we continue to have both the contributors who are slightly up year on year, the contributions, which have been relatively stable year on year, as a as a really differentiated quality content and data asset to leverage. We are using that both on our own platforms as well as in our partnerships. And what we are seeing is that as AI traffic comes in, it tends to be higher intent. It tends to be, you know, these long queries tend to help us get the answers more quickly. And so we are seeing the the conversions to be a bit stronger because it is it is relatively higher intent, we think, lower down the funnel. Now that traffic that we are driving through that AI-first approach is is a lower relative percentage of our overall traffic. But it is growing much, much faster, and we are pretty excited about what we can do there both on our products and through our partnerships ahead. So more to come there. Thank you.
Operator: Please stand by for our next question. Our next question comes from the line of Stephen Ju with UBS. Your line is open.
Stephen Ju: So I think know, for Viator, I think there was a push for a number of years. If not from yourself, but generally, know, across the segment to make it progressively less episodic by maybe asking your users to use it, you know, in their home market. So you know, is that proving to be more challenging, or is just an awareness factor? Are you getting that activity picking up currently? And you know, because, you know, with folks thinking that maybe they should only open up Viator only when they travel. Thanks.
Matt Goldberg: Yeah. Thanks. We are definitely continuing our work to attract customers who are interested in Experiences wherever they may be, whether that is on a a long haul trip, a domestic short haul trip closer to home, or even, you know, an experience that they want to have over a long weekend. And, of course, you know, our supply is the largest supply available anywhere. So we think that matching that kind of demand is something that we can do now. We are growing our supply, and it will depend on you know, really going after more local Experiences, and that is something that as we continue to invest in supply, we can continue to add. I would say that our primary focus right now has been to enter new geos. But as we enter new categories and think about extending that supply, going deeper perhaps into attractions, you know, maybe that local supplier who you rent a canoe from to go down the river with your kids, you know, that will be something we will continue to do. So it is an area of future growth. I would not say that it is the priority we are driving hardest at. Otherwise, we would have called it out. But it is definitely something that we believe our platform can deliver on. So there will be more there to discuss going forward.
Operator: Please stand by for our next question. Our next question comes from the line of Lloyd Wamsley with Mizuho. Your line is open.
Lloyd Wamsley: Thanks. I have got two questions. First, just drilling into the geographic expansion for Experiences. Like, how much of that is building supply, you know, in new markets and demand in new markets, versus maybe selling North American Experiences into new points sale where you do not need new supply. It is more marketing. Just anything you can help us understand on on the plan for geographic expansion. And then the second one was just, you know, you sort of hinted at, the potential for evolution in the partnerships with the larger AI search platforms? Like, anything you can tell us either specifically, or should we expect evolution there? This year in in any meaningful way? Anything you could share there would be great. Thanks.
Matt Goldberg: Thanks, Lloyd. On the geo expansion, it is a combination of both, but, of course, you know, we are already serving U.S. North American customers going to international destinations. We think we do that relatively well. Of course, we can continue to improve as we think about specific supply in particular locations. But I think going after the geo expansion is very much about the supply that will appeal to international source markets that we have not served in the past. We have done some in English language, but I would say we are under-optimized as we think about that native traveler from international source markets. So think about a different kind of experience that they may want to have relative to an American. That is supply. We will go out. We have the Tripadvisor, Inc. brand, which is highly trusted and huge awareness in Europe and Asia. And, obviously, we can leverage that. We can use those signals of intent to go target the right supply. We can use AI to localize through translation and do that relatively quickly. And then, of course, we can leverage all of our data to go and target through our marketing channels in those geographic locations. So think local sourcing of new markets as a meaningful opportunity for us ahead, which we are just getting going on, and we are we are excited about that with more to come. In the second question, about our partnership opportunities, we are very excited about what is ahead in our partnership. I would say that 2025 was very much about establishing a foundation. We wanted to learn from partners what worked, what did not, what we had that was valuable, and really get a set of partners going. So you saw us working with OpenAI, with Tripadvisor, Inc. and The Fork app, and we just announced today that this week, the Viator app is there. We are learning a lot through that integration about agentic AI. We have got a licensing arrangement there. With companies like Amazon and Snap, we are exploring a multimodal AI. We have explored marketplace data with Microsoft, and and we are playing with others around new AI form factors and device like glasses, where you will hear more about that in the future. We generated a meaningful revenue through these in a in a diverse way. I do not think we have broken that out publicly, but, you know, we expect it has been growing, and we expect that to continue growing across licensing revenue, link-back traffic, and and integrating our products. We also learned a lot. I think what we learned is that our data is valuable. It is incremental, and it is structured. And so it can really help address customer problems. We are just getting started there. We bring a deep knowledge of the category that I think is very helpful to these horizontal players because spec and vertical focus is helpful. And as we put our foundation together, we were limited in how we wanted our brand, our content, and data to be used. We were more looking to understand the value ahead. And so we are having meaningful conversations about doing something bigger that would be less constrained. We think we have the assets to be a deeper partner with a select partner because what they need is a trust layer. They need cross-category content. They need the data. And, of course, leading supply and Experiences is very helpful too. And so what we think we can do there is to really close what I call the confidence gap between planning and booking, and let me explain why that is such a big opportunity. Almost half of travelers use AI to plan trips. But less than 10% of them are actually booking with AI. And the gap represents a huge amount of unrealized value, and we think it exists because we need you know, there needs to be an improvement in trust. There needs to be an execution capability in the current tools. And so we think that nobody has figured that out or cracked it yet, and we think that we bring brand, content, data, and scale to help make that happen. It is an execution challenge. And that is where we think our role is really compelling because we bring trusted human judgment, scaled Experiences supply, and a transaction layer that, you know, with our 8,000,000 plus POIs, and our and our sort of you know, social proof through our UGC that may be missing. And so we are going to go after it. We also think that, you know, trust and being neutral and being able to work with a with a broad player is is an opportunity ahead.
Operator: Our next question comes from the line of Jed Kelly with Oppenheimer and Company. Your line is open.
Jed Kelly: Hey, great. Thanks for taking my question. Just just drilling down to Experiences, you know, obviously, the marketing was up quite a bit in fourth quarter. Can you just talk about the competitive intensity around that? Or is that more from you testing new channels? Now the other thing with with Experience is have you looked into getting into more partnerships that could actually drive more repeat traffic such as, like, event ticketing? Thank you.
Mike Noonan: Yeah. I will I will take the first one. You know, Matt, take the second one. Yo, listen. I think in terms of the the the marketing, in Q4, one, no change in approach. As I as I was talking earlier with with Naveed. You know, we are looking and driving a very disciplined set of ROIs in a marketing spend, and, you know, where we think we can drive growth, we will look to do so based on the same set of of of of criteria. I I would say when you are accelerating that deleverage as a percent of revenue is going to show through for sure. When you look at our marketing as a percent of GBV, it is pretty flat year over year. So, in our minds, you know, the the marketing spend was was it was kinda in line to our historical, disciplined approach, the way we approach it. And and as I said earlier, we are going to be flexible as we approach as we move through the year. We always are going to be seeking ways to, you know, grow, accelerate, take share, but we are going to do it in a way that is disciplined, that ladders up to a long-term target market. And, again, I think as we open up our geo expansion, that opens up a different set of, of really exciting choices for us.
Matt Goldberg: Yeah. And on your second question, Jed, around partnerships to drive repeat booking, absolutely, we are always talking with a variety of partners. We have a strong B2B team and a partnerships team. Live events and ticketing, as you just described, is one area. Earlier, we were talking about local activities that we could go after. So it is a combination of partnerships and supply, and, absolutely, that is something we are focused on. We think there is any number of additional opportunities to go after. I do not want to get ahead of ourselves and start talking about those now. But we talked about two of them, and I think you can expect to hear more from us on on some of those opportunities ahead.
Operator: Our next question comes from the line of Tom White with D. A. Davidson and Company. Your line is open.
Tom White: Hey, this is Wyatt on for Tom. Thanks for taking our Just given the heavy fragmentation and Experiences, is that technically better insulated from potential AI disintermediation? And I would like to hear your thoughts on maybe how Experiences are maybe uniquely positioned in the travel space. Thanks.
Matt Goldberg: Yeah. I think that, Tom, thanks for the question. I think your commentary about the long-tail fragmented supply with, you know, all of those hundreds of thousands of small businesses that are out there to go after, and we feel really good about our penetration there. I think you are right. I think that does insulate AI disintermediation. There are a couple other reasons why I think it is insulated and durable ahead. First, you know, as Mike was saying earlier, it is much less dependent on the structurally challenged SEO traffic. Second, I think it is really hard to bring that structure to the supply base and connect them directly to consumers, taking friction out of the journey, putting in place all of the infrastructure as a marketplace, applying, you know, customer service, dealing with the logistical challenges. And then I think, you know, the way that, you know, we have been competing effectively in these high-intent demand channels in getting these heat economics going is is also, you know, an installation there. So we think that positions us really well. And, of course, you know, we will continue to to drive that flywheel and only strengthen the durability and potential to defend. So it is a good question, and that is exactly how we are approaching it.
Operator: Thank you. Ladies and gentlemen, due to the interest of time, I would now like turn the call back over to Matt Goldberg for closing remarks.
Matt Goldberg: Yeah. Thanks for that, and and thanks, everyone, for joining us today. We covered a lot on this morning's call. I think the most important thing is we are excited about 2026 and executing on our priorities. We think it will drive durable, sustained long-term shareholder return. Also just want to take a moment to thank all of our employees for their good work to deliver on our clear priorities ahead. We are looking forward to 2026 and updating you on our progress and plans on the next call. Thank you, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.